Andrzej Matyczynski: Thank you for joining Reading International’s Earnings Call to Discuss our 2021 Third Quarter Results. My name is Andrzej Matyczynski, and I’m Reading’s Executive Vice President of Global Operations. With me, as usual, are Ellen Cotter, our President and Chief Executive Officer; and Gilbert Avanes, our Executive Vice President, Chief Financial Officer and Treasurer. Before we begin the substance of the call, I will just run through the usual caveats. In accordance with the safe harbor provision of the Private Securities Litigation Reform Act of 1995, certain matters that will be addressed in this earnings call may constitute forward-looking statements. Such statements are subject to risks, uncertainties and other factors that may cause our actual performance to be materially different from the performance indicated or implied by such statements. Such risk factors are clearly set out in our SEC filings. We undertake no obligation to publicly update or revise any forward-looking statements. In addition, we will discuss non-GAAP financial measures on this call. Reconciliations and definitions of non-GAAP financial measures, which are segment operating income, EBITDA and adjusted EBITDA, are included in our recently issued 2021 third quarter earnings release on the company's website. We have adjusted, where applicable, the EBITDA items we believe to be external to our business and not reflective of our cost of doing business or results of operations. Such costs include legal expenses relating to extraordinary litigation and any other items that can be considered non-recurring in accordance with the two-year SEC requirement for determining an item is non-recurring, infrequent or unusual in nature. We believe adjusted EBITDA is an important supplemental measure of our performance. In today's call, we also use an industry-accepted financial measure called theater level cash flow, TLCF, which is theater level revenue, less direct theater level expenses. We will also use a measure referred to as F&B spend per patron, SPP, which is a key performance indicator for our cinemas. The F&B SPP is calculated by dividing a cinema’s revenues generated by food and beverage sales by the number of admissions at that cinema. Please note that our comments are necessarily summary in nature, and anything we say is qualified by the more detailed disclosure set forth in our Form 10-Q and other filings with the U.S. Securities and Exchange Commission. So with that behind us, I’ll turn it over to Ellen, who will review our 2021 third quarter results and discuss our strategies for navigating Reading through the COVID-19 pandemic to the post-COVID era; followed by Gilbert, who will provide a more detailed financial review. Ellen?
Ellen Cotter: Thanks, Andre. And thank you for joining our call today. We're happy to be reporting encouraging news about the company and the global cinema industry. As we've previously stated, the fundamentals of our two business three country diversified business strategy provided Reading and its subsidiaries, the foundation necessary to whether what we believed were the darkest periods of the COVID pandemic. As of today, November 11, 2021, 55 of our 59 global cinemas are open. In New Zealand, one cinema is closed due to the COVID restrictions and another is closed for seismic reasons. In Hawaii, one cinema is closed as we try to find an economically feasible reopening plan with another cinema in Hawaii closed for renovation. As of today, our global debt balance of $238 million has been reduced by 16.5% from December 31, 2020. We were able to reduce our global debt as a result of the monetization of five real estate assets from which we generated $141.9 million in cash. In a sign that the protection of our stockholder base is having a positive effect as of September 30, 2021, our stockholder equity had increased by 28% from September 30, 2020. Let's start with an overview of the company's Q3 2021 operations and recent highlights from October and November. At $31.8 million, our Q3 2021 consolidated total revenues increased 212% from the same period last year, but represented 45% of the same quarter two years ago in 2019. Unlike other global exhibitors, we delivered this increase despite 38 of our 59 global cinemas being closed at some point during Q3 2021. This 212% consolidated total revenue increase was primarily driven by our U.S. cinemas, where our cinema revenues increased by 292% from Q3 2020. Thanks to almost 88% of our circuit being reopened and the stellar movie releases that resonated with our circuit like Shang-Chi and the Legend of the Ten Rings, Black Widow, Jungle Cruise, and Free Guy. We achieved this result despite our consolidated theater circuit in Hawaii, being required to operate with government mandated seating capacity restrictions. And this significant Q3 2021 year-over-year increase occurred despite the fact that almost 50% of our Australian circuit was closed during Q3 2021 due to state-specific Delta variant outbreak lockdowns. The theaters that were closed were in New South Wales and Victoria, which represents some of our strongest in the Australian portfolio. Additionally, reacting to the Delta variant conditions and the government mandated movie theater closures, Hollywood studios move significant movies out of Q3 2021’s Australian release calendar. So our theaters in Queensland, Western Australia, South Australia, and Tasmania that were open didn't enjoy the anticipated strong release of product. Lastly, during Q3, certain Australian states operated with seating capacity restrictions. Our New Zealand circuit was likewise impacted by Q3 Delta variant lockdowns. The Delta COVID-19 strained reached New Zealand in Q3 2021 resulting in the entire circuit closing briefly during the third quarter of 2021. And in Auckland, our New Lynn theater, which typically represents over 16% of our New Zealand circuit box office was mandated to close for about half of Q3. Skipping ahead to today, we were permitted to reopen the last of our closed Australian cinemas on October 28, 2021. We're thrilled to report that in the last weekend with a 100% of our cinemas reopened and with the opening of Eternals, our circuit was over 12% ahead of the same weekend in 2019 and on a same-store basis, the Australian circuit business represented 99% of the 2019 business on that same weekend. And No Time to Die opened in Australia one day ago, we're pleased to report that our company's Australian circuit opening day box office on the film exceeded the circuit opening day box office of the last James Bond film Spectre by over 27%. These encouraging box office results were achieved, despite the fact that the state of Victoria is enforcing 75% seating capacity restriction. Turning to our U.S. cinema business. As of November 5, all the two of our U.S. cinemas are open. In October of 2021, our U.S. circuit generated the highest cinema attendance since February of 2020. And from a theater level cash flow perspective, our U.S. cinema division just about broke-even. These results were delivered despite the state of Hawaii enforcing social distancing and 50% auditorium capacity restrictions in our consolidated theater circuit, at seven of our operational theaters. I'm finishing with New Zealand today. Our New Lynn theater remains closed by government mandate, and we hope it can reopen in early December. Despite this closure, our New Zealand circuit reported weekend box office with the opening of Eternals of about 62% of 2019. Looking at the other part of our global operations, at $3.1 million, our Q3 2021 real estate revenues reflected a 7% increase from Q3 2020. In Australia and New Zealand as a result of the Q2 2021 monetization of Auburn/Redyard, our Q3 2021 rental decreased due to the revenue that we are previously receiving from 17 third-party tenants at Auburn. The revenue reduction related to the sale of Auburn was balanced by improving conditions in our Cannon Park Centre, where the sales performance of certain third-party tenants drove additional percentage rent revenue. And in the United States, the Orpheum Theatre in New York City resumed public performances of STOMP on July, 2021 – July 20, 2021. And we had a full quarter of cash rent from our Culver City tenant. With respect to our real estate revenues for future periods, in Australia, during Q3 2021, we completed four new leases and one lease renewal at Newmarket Village in Cannon Park, collectively representing almost 9,000 square feet. On October 8, 2021, we resume public performances at our Minetta Lane Theatre in New York City, which continues to be licensed by Audible and Amazon Company. In an improving leasing environment in New York City during the quarter, we continue discussions with national retailers for retail space at 44 Union Square in New York City. As we've mentioned, one confronted with the elimination of most of our cinema cash flow in 2020 due to the COVID-19 pandemic, we considered a variety of possible routes to increase our liquidity. These included raising new capital, taking on new debt and monetizing certain assets that had appreciated and value substantially during our ownership. We continue to remain strong in our position that rather than diluting our stockholders by issuing stock at low prices or mortgaging our future by taking on additional debt, it was in the best interest of our company and our stockholders to monetize certain readily sellable assets. Over the past nine months, we've successfully monetized five assets, which contributed to our ability to pay down debt, which Gilbert will describe in a few minutes and still have cash on hand as of September 30, 2021 of $90.9 million. On August 30, 2021, we sold our land and building in Invercargill, New Zealand for US$3.8 million or US$5.4 million New Zealand. And then we lease back our Reading Cinema from the purchaser. This follows the Q1 2021 monetization of our land in Manukau, New Zealand and in Coachella, California. Two non-income producing properties, ending Q2 2021, we monetized our Royal George Theater complex in Chicago and our Auburn/Redyard center in New South Wales, Australia, where we also lease back our Reading Cinema. Due to our strategic asset monetizations and the clear start of our operational recovery and despite the Delta related closures in our international cinema markets and various government mandated seating restrictions. Our Q3 2021 basic loss per share of $0.46 improved by almost 48% from Q3 2020, our Q3 2021 EBITDA improved from Q3 2020 by almost 80% to a loss of just $2.4 million. Our Q3 2021 operating loss of just under $11 million is the best result in the last six calendar quarters and since Q1 2020. Now let's turn to more specifics about our global cinema business. At September 30, 2021, primarily due to Delta variant related lockdowns in Australia and New Zealand, only 41 of our 59 global cinemas excluding joint ventures were open. Despite these international closures at $28.8 million are Q3 2021 global cinema total revenues increased by $21.4 million or almost 292% from just $7.3 million in Q3 2020. Our Q3 2021 global cinema operating loss of $5.1 million improved 62% from an operating loss of $13.4 million in Q3 2020. Despite these improving conditions reflecting COVID's significant impact at 28.8 million, our Q3 2021 global cinema revenues were just 43% of our Q3 2019 global cinema revenues of $66.7 million. Nonetheless, we believe that the Q3 box office performances of Shang-Chi and the Legend of the Ten Rings, Black Widow and Jungle Cruise continue to demonstrate the global pent-up demand for experiencing movies on the big screen in a shared cinema environment. And reflecting our focus on food and beverage, our F&B spend per patron in all three countries, despite the pandemic continues to be strong. For Q3 2021, we had an F&B spend per patron in the U.S. of $7.62, which is higher than other us publicly traded exhibitors. In Australia, the FMB spend per patron was A$7.19, that's Australian dollars, which was the highest third quarter ever. And second highest quarter on record. At $5.77 New Zealand dollars, our New Zealand F&B spend per patron set an all-time highest quarterly record for a second consecutive quarter in a row. Additionally, in an effort to ensure contactless F&B transactions and to address increasing labor costs. During Q3 2021, we launched F&B ordering online from our websites in Australia. To-date our numbers for pre-ordering on the website, suggest that this convenience will be popular with our audiences in the future. Our management team continues to proactively manage our theater level cash flow across all three countries. Because of the severe impact we've suffered from COVID and its related Delta variant, and could still suffer into the future, we continue to seek further extensions of our existing deferrals and/or abatement with our global third-party landlords. We continue to believe there's a pressing need for us to get further cooperation from our third-party cinema landlords, to ensure that our occupancy costs are contained and managed during these future periods. As we continue to recover from the devastating impacts of COVID. We received a question about the status of certain U.S. cinema leases, as a result of an earlier mention about landlord seeking eviction through court filings. There were two such matters in the U.S. that we managed during Q2 and Q3 2021. These two matters have been successfully resolved if they're landlords and we continue in occupancy, we continue in occupancy of all of our cinemas and are not in litigation with any cinema landlords. Now, let me give you some specific highlights and detail about our global cinema business. Starting with the United States, as of today, 20222 of our 24 U.S. cinemas are operating. As we mentioned in our previous call, we reopened our consolidated theaters in CoCo Marina on August 20, 2021. We're pleased to report that our newly renovated consolidated theater at the Kahala Mall, which was delayed due to COVID has reopened and welcomed back guests on November 5, 2021. The cinema now offers recliners, a new cafe and bar and an elevated F&B menu. Our first weekend back started off with a bang with this cinema hosting the Hawaii International Film Festival, and also featured the release of Marvel's Eternals. The two U.S. theaters that currently remain closed during in Hawaii. We've now begun renovating our consolidated theater in Kapolei in West Oahu. We're adding luxury recliners to certain auditoriums, and completing a lobby renovation and currently targeting a reopening during the 2021 holiday season, following the first phase of a long-term renovation. Currently, we have no reopening dates scheduled for our consolidated theater at the Kalalau center. As we discuss the circumstances with our landlord. Our Q3 2021, U.S. total cinema revenues increased by $16.2 million or over 2000% to $17 million compared to Q3 2020. In a sign of improving operational conditions, when compared to Q2 2021, our Q3 2021 total cinema revenues for our U.S. circuit increased by over $3.9 million or 29%. Our U.S. cinema segment operating loss decreased to $5.1 million from a loss of $13.4 million in Q3 2020. Turning to Australia, our Q3 2021 Australian total cinema revenues increase by $4.5 million or 93% to $9.4 million, compared to Q3 2020. However, due to the Delta related closures are Q3 2021 total cinema operating revenue for Australian circuit decreased by 6.8 million or 42% to $9.4 million compared to Q2 2021. Reflecting our true optimism about the industry, following the launch within the last 10 months of our new Reading Cinemas with TITAN LUXE at Jindalee in Queensland and Millers Junction in Victoria, we continued to work on our cinema pipeline in Australia. Through Q3 2021, we progressed our designs for our new eight screen cinema at South City Square in the Brisbane area. We're honored to be part of the beautiful multi-use lifestyle destination project being developed by Pellicano and Perri Projects. As mentioned in our last call, this development will be our first new Angelica branded venue in Australia, which we expect to open in mid-2022. We also continued our dialogue with the landlord at our cinema in Traralgon, in Victoria based on our agreement to lease, we currently anticipate opening this five screen Reading Cinema in time for the upcoming holidays this year. Also furthering our development and growth opportunities, we've signed a heads of agreement with the leading real estate company to open another new Reading Cinema, including TITAN LUXE in Western Australia within the next two years. Turning now to New Zealand. As of today, nine of our 12 cinemas in New Zealand are open, which includes our Rialto joint ventures. Two cinemas located in Auckland are New Lynn Cinema and Rialto in new market remain closed due to COVID mandated restrictions. In addition, Reading Cinemas at Courtenay Central continues to be temporarily closed due to seismic reasons. Our theaters there continues to operate with minimal physical distancing restrictions. The Delta COVID-19 strained reach New Zealand in Q3 2021 resulting in the entire circuit closing briefly during the third quarter of 2021. However, by September 30, 2021, these nine locations had reopened. Our Q3 2021 New Zealand cinema revenues increased by 45% to $2.4 million compared to Q3 2020. However, due to the COVID-19 closures, our Q3 2021 total cinema revenues for our New Zealand circuit decreased by $1 million or 30% compared to Q2 2021. In Q3, we had a strong slate of releases with movies like Shang-Chi and the Legend of the Ten Rings, Black Widow, Jungle Cruise and Free Guy. And while some of these were also available on streaming services, we saw audiences embrace returning to theaters to watch these films on the big screen in a shared audience environment. The global release schedule for the last quarter of 2021 continues to look promising following very successful North American releases of Venom, Eternals and the French dispatch. Our programming team continues to be optimistic about the finish of the year. The remaining November and December releases should be amongst the biggest in 2021 Encanto, West Side Story, Sing 2, Spider-Man: No Way Home and Matrix Resurrections will be all opening. Reinforcing the rebound of our specialty cinemas in the U.S., the Angelika Film Center in New York recently opened director Wes Anderson’s, French Dispatch to an opening weekend gross box office of $103,000. This opening weekend gross at the Angelika was the highest opening weekend engagement for the French Dispatch in the United States. It outperformed the second best box office by almost $45,000 and it represented the highest opening weekend box office at the Angelika New York since November 2017, when Lady Bird opened. During Q4 2021 and just in time for award season, we’ll see the release of the most important specialty films of the year. Exciting upcoming titles include Belfast, Guillermo del Toro’s Nightmare Alley, Paul Thomas Anderson’s Licorice Pizza, House of Gucci and Pedro Almodóvar’s Parallel Mothers all offering an exclusive theatrical window. Now let’s turn to our global real estate business. Reflecting the strength of our dual and diversified business strategy, our real estate operations apart from the asset sales continue to be less impacted by COVID-19 than our cinema business. Our Q3 2021 total real estate revenue increased by 5% to $3.2 million compared to Q3 2020. However, we did report a Q3 2021 operating loss of $1.5 million, which increased 76% over Q3 2020. That Q3 operating loss increase was driven by a few key factors: Increased property costs and occupancy expenses related to our 44 Union Square Property, some of which were partially capitalized in Q3 of 2020, as well as a commencement of depreciation for this property, and property rental income in Australia also decreased due to the sale of our Auburn/Redyard center during Q2 of 2021. A few points about our increased Q3 2021 real estate revenues. As of today in Australia and New Zealand, we have 73 third-party tenant ranging from cafes to supermarkets, pharmacies, non-cinema entertainment venues and various medical uses. And the portfolio as of Q3 2021 has a solid occupancy rate of 94%. Even with the recent Delta lockdowns in Australia, 93% of our third-party tenants are opened and trading. Due to lockdowns being in effect for most of the quarter in New South Wales and Victoria, the code of conduct was reinstated. The Australian code of conduct, which is legislatively – which is a legislatively mandated framework to assist tenants impacted by the global pandemic, officially came to an end in most Australian states at the end of March 2021. The official termination of that code signaled the commencement of rent deferral payments over a 24 month period. So our Australian property team will be managing these deferral payments over the next couple of years. However, in light of the recent Delta lockdowns, the Victorian code of conduct legislation has been reinstated up until January of 2022. Our overall revenue increase was offset by a 7% decrease in real estate revenues in Australia, primarily due to the Auburn/Redyard sale in Q2 of 2021. In New Zealand, our Q3 2021 real estate revenues remained relatively flat. There were no COVID related rent abatements provided to any third-party tenants during Q3 of 2021. In the U.S., our Q3 2021 real estate revenues increased by $0.3 million to $0.6 million due to the reopening of our Orpheum Theatre in New York City on July 20, 2021, when STOMP resumed public performances. During Q3 2021, our global management teams continued to work on the development of our two active real estate projects, 44 Union Square, New York City and our Wellington assets, including Courtney Central, New Zealand. However, as of today’s date, we have no material updates for you on these two projects. I’ll finish by noting that as we regain our footing in our cinema divisions and continue to solidify our foundation, we believe our retained real estate assets, 44 Union Square and Cinema 1, 2 and 3 in New York, Courtney Central in Wellington, Newmarket Village in Brisbane, Cannon Park in Townsville and our Viaduct properties in Philadelphia all continue to offer substantial opportunities to create future long-term value for our stockholders. That wraps up my business overview for Q3 of 2021. But before I turn it over to Gilbert, I want to say on behalf of Margaret, our Board and myself, we again want to extend our sincere appreciation to the global Reading team. I feel like we can’t say it enough. Thank you to all those executives and employees who’ve worked nonstop since March of 2020 to make sure our company successfully navigated this uncertain time. While we know we’re not out of the woods yet, it’s the daily efforts of the Reading team under extraordinary circumstances for the last 20 months that have put this company in its various operating divisions on stronger footing. With that, I’ll turn it over to Gilbert.
Gilbert Avanes: Thank you, Ellen. Consolidated revenues for the quarter ended September 30, 2021 increased by $21.6 million to $31.8 million when compared to the same period in the prior year. This increase was due to majority of our theaters operating during the third quarter of 2021 compared to the third quarter of 2020. These positive results were further impacted by the release of several major films in the third quarter of 2021, which collectively led to an increase in attendance compared to the third quarter of 2020. These results were further enhanced by the strengthening of our Australian and New Zealand dollars. During the third quarter of 2021, the average Australian and New Zealand dollars strengthened against the U.S. dollar by 2.6% and 5.8% respectively, compared to the same period last year. Revenue for the nine months ended September 30, 2021 increased by $26.3 million to $89.1 million when compared to the same period in the prior year. This increase was due to majority of our theaters operating during the first nine months of 2021 compared to the same period in 2020. Average Australian dollar and New Zealand dollar strengthened against the U.S. dollar by 12.1% and 11.5% respectively for the nine months of 2021 compared to the same period in prior year. Net loss attributable to RDI stockholders for the quarter ended September 30, 2021 decreased by $9.1 million to a loss of $10.1 million when compared to the same period in the prior year. Basic loss per share decreased by $0.42 to a loss of $0.46 for the quarter ended September 30, 2021, compared to the quarter ended September 30, 2020. These improved results are due to continued rollout of COVID-19 vaccine in the U.S., which draw the reopening of most of our cinema portfolio and the easing of occupancy restrictions since the initial COVID-19 shutdowns together with the successful release of certain 10 poll movies from the Hollywood Studios during the third quarter of 2021. Furthermore, these reductions in losses were enhanced by the gain on sale of assets related to our Invercargill property in August of 2021. For the nine months ended September 30, 2021, net income attributable to RDI common stockholders increased by $79.4 million to $31.6 million compared to the same period in the prior year. Basic earnings per share for the nine months ended September 30, 2021 increased by $3.65 to $1.45 compared to the nine months ended September 30, 2020. These increases were largely due to the gain on sale of assets as previously discussed. Non-segment G&A expenses for the quarter ended September 30, 2021 increased by 41% or $1.2 million to $4.1 million compared to the quarter ended September 30, 2020. This increase was primarily due to the non-recurring legal settlement of $0.8 million entered in favor of our company in the James Jr. Cotter derivative litigation by the Nevada Supreme Court during the third quarter of 2020. This increase was also due to wage subsidies received in Australia and New Zealand in the third quarter of 2020 that did not occur in the same period for the current year. Non-segment G&A expense for the nine months ended September 30, 2021, increased by 7% or $0.8 million to $12.0 million compared to the nine months ended September 30, 2020. These increases were primarily due to the non-recurring legal settlement of $0.8 million entered in favor of our company in the James Jr. Cotter derivative litigation by the Nevada Supreme Court during the third quarter of 2020, as well as significant wage subsidies received in Australia and New Zealand in the third quarter of 2020 that did not occur in the same period for the current year. Income tax benefit for the quarter ended September 30, 2021, increased by $0.4 million compared to the equivalent prior-year period, primarily related to a decrease in valuation allowance in 2021. Income tax expense for the nine months ended September 30, 2021, increased by $17.5 million compared to the equivalent prior-year period. The change between 2021 and 2020 was primarily related to the increase in pretax income in 2021, partially offset by a decrease in valuation allowance in 2021. For the third quarter of 2021, our adjusted EBITDA increased by $9.2 million compared to the same period – prior year period the negative adjusted EBIDA of $0.4 million. For the nine months end September 30, 2021, our adjusted EBITDA increased by $101.7 million to $71.4 million compared to the nine months ended September 30, 2020. These increases were primarily the result of our gain on sale of real estate assets. Shifting to cash flow. For the nine months ended September 30, 2021 net cash used in operating activities decreased by $10.2 million for net cash used of $17.8 million when compared to the same period prior year period. This was primarily driven by $20.9 million increase in net changes in operating assets and liability primarily resulting from taxes payable, offset by decreasing cash inflow from operating activities of $10.6 million. Cash provided by investing activities during the nine months ended September 30, 2021, increased by $144.1 million to $127.5 million when compared to the same period in 2020. This increase was primarily due to $145.2 million from asset monetization. Cash used in financing activities during the nine months ended September 30, 2021 was $41 million. This increase was primarily due to repayment of $40.6 million from our construction loan secured by our 44 Union Square property, pay downs of $16.1 million on our NAB facility, pay downs of $12.7 million on our loan with Westpac and pay downs of $8.4 million on our revolving credit facility with Bank of America, offset by the new loan facility with Emerald Creek Capital from the funding of our 44 Union Square property in Manhattan of which $43 million was immediately drawn. Turning now to our financial position. Our total assets on September 30, 2021 were $695.2 million compared to $690.2 million on December 31, 2020. This increase was primarily driven by $64.1 million increase in cash and cash equivalent, primarily due to our monetization of $141.9 million worth of real estate assets in the first nine months of 2021. Offset by a decrease in land on property help for sale and non-operating properties due to the sale of our assets. On September 30, 2021, our total outstanding borrows were $245.8 million compared to $285 million on December 31, 2020. Our cash and cash equivalent as of September 30, 2021 were $90.9 million, which includes approximately $8.4 million in our U.S. operations, $59.8 million in our Australian operations and $22.7 million in our New Zealand operations. During the third quarter, as our cinemas have reopened and our Invercargill real estate assets have been monetized a portion of these proceeds have been used to pay down debt or to satisfy our outstanding obligation. In the third quarter of 2021, we paid down $2.2 million of Bank of America revolving credit facility, bringing the balance to $42.8 million, which as of September 30, 2021 had a total availability of $12.2 million. On August 30, 2021, we repaid $1.5 million to Westpac, which represents a permanent reduction in this facility. Further, our bank loans with Bank of America, NAB and Westpac require that our company comply with certain covenants. Generally speaking, we have good relationship with our lenders and believe that any understanding the current environment and recognize that we are doing everything we can to deliver on our strategic priorities. On August 30, 2021, we obtained a waiver from Westpac, which temporarily suspended the testing of certain covenant tests through September 30, 2021. As of September 30, 2021, we were in compliance with our covenants under these loans. The September 30, we have negotiated the followings: on November 2, 2021, we obtained a waiver from NAB, which extended the temporary suspension of the testing of certain covenants through September 30, 2022. On November 8, 2021, we amended our credit agreement with Bank of America. The new amendments replaces all of the required covenants with the single liquidity covenant and the loans have now are being converted into a term loan. On November 8, 2021, we repaid in full and retired our Bank of America line of credit. As we continued to focus on preserving our liquidity, we did not repurchase any of our shares in the third quarter of 2021. With that, I’ll now turn it over to Andrzej.
Andrzej Matyczynski: Thanks, Gilbert. First, I’d like to thank our stockholders for forwarding questions to our investor relations email. In addition to addressing many of your questions in the prepared remarks from Ellen and Gilbert, we’ve selected a few additional questions to offer additional insights from management. The first question relates to the sale of assets and repurchase of stock. Would it make sense to sell assets that can get fair value or borrow against, then use the proceeds to buy back undervalued stock. I can handle this one. During the pandemic, we focused on preserving stockholder value. We strengthened our balance sheet by selectively monetizing assets, not adversely impacted by the COVID economy and which would have required significant capital expenditures to take them to their next level of value. We generated $141.9 million in cash unlocking book profits of $90.2 million. We did not take on any high interest rate debt or diluted stockholders by issuing equity at distress prices. We’ve worked with our landlords and haven’t lost any of our cinema assets. We have in short preserved the core of our business and are optimistic about the future of cinema exhibition in the markets where we operate. As for the future, we continue to believe in our two business, three country strategic business plan. We do not see any shift in that strategy, which has survived us well through the pandemic. We also review our position with regards to our authorized stock repurchase program, which has been on hold because of the liquidity needs of the company made more acute by the pandemic and its effect on our businesses. We continue to balance our CapEx and OpEx requirements together with our commitment to our stock repurchase program and we recommenced that program as circumstances allow. The second question comes from, when it makes sense to restart the refurbishment program. How many more theaters are left in your CapEx plans for U.S. theaters? How many have been completed and how many are not participating in the past or near present of the program? What amount of capital is necessary to complete the plan? Ellen?
Ellen Cotter: In addition to building Olino in Hawaii, since 2015, we’ve substantially renovated eight cinemas in our U.S. portfolio. Those renovations included among other things, converting to recliner seating, adding TITAN LUXE screens, and significantly upgrading the F&B offer. As of today, we’re targeting the renovation of three additional theaters starting sometime in 2022. The overall renovation cost, we estimate to be about $8 million to $10 million based on future decisions about the scope of the renovations. We’re working now with our landlords at these three locations to establish reasonable new lease arrangements to take into account major renovations. In 2023, we’d expect to commence renovations on three or four more. Decisions with respect to the remainder of the U.S. circuit are subject to market conditions at the time and discussions with our landlords about lease term, tenant allowances and rent structures.
Andrzej Matyczynski: Thanks, Ellen. And finally, are there any plans to further monetize real estate assets, Gilbert?
Gilbert Avanes: At this time, we have no plan to further monetize any of our real estate assets. Historically, our approach to our real estate assets have been predominantly a buy and hold strategy. However, due to COVID-19 pandemic, we monetize the asset that had minimal impact to our historical cash flow, but have greatly appreciated in value. By capitalizing on these assets, our long-term real estate strategy has given us the ability to not increase debt or issue capital and further enhanced our financial position given us the ability to pay down debt. The monetization of these assets have strengthened our balance sheet in a type of global uncertainty. Our actions in this regards were well received by our lenders and we believe we get top prices for those assets. At this time, we believe our balance sheet is well positioned to provide our company with the continued flexibility to allow the cinema industry and our cinema cash flows time to rebound.
Andrzej Matyczynski: Thanks, Gilbert. Well, that marks the conclusion of the call. As usual, we appreciate you listening to the call today and thank you for your attention. And wish everyone good health and safety. Thank you.
Operator:
Q - :
 :